Operator: Good morning. My name is Brance, and I will be your conference operator today. At this time, I would like to welcome everyone to the Nokia Fourth Quarter 2012 and Full Year Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. (Operator Instructions) I would now like to turn the conference over to Matt Shimao, Head of Investor Relations. Sir, you may begin.
Matt Shimao: Ladies and gentlemen, welcome to Nokia’s fourth quarter and full year 2012 conference call. I am Matt Shimao, Head of Nokia Investor Relations. Stephen Elop, President and CEO of Nokia; and Timo Ihamuotila, CFO of Nokia are here in Espoo with me today. During this call, we’ll be making forward-looking statements regarding the future business and financial performance of Nokia and its industry. These statements are predictions that involve risks and uncertainties. Actual results may, therefore, differ materially from the results we currently expect. Factors that could cause such differences can be both external, such as general, economic and industry conditions, as well as internal operating factors. We have identified these in more detail on pages 13 through 47 of our 2011 20-F and in our financial results press release issued today. Please note that our quarterly results press release, the complete interim report with tables and the presentation on our website include non-IFRS results information in addition to the reported results information. A complete interim report with tables available on our website includes a detailed explanation of the content of the non-IFRS information and a reconciliation between the non-IFRS and the reported information. With that, Stephen, over to you.
Stephen A. Elop: Thank you, Matt. We are very encouraged that Nokia’s execution against our business strategy has started to translate into financial results. Most notably, I’m very pleased that today I can report to you that the Nokia Group reached underlying profitability for both Q4 2012 and the full year of 2012. While we remain focused on moving through a transition, we’re encouraged that we are increasing our product competitiveness, changing our clock speed, and better managing our costs. All of these efforts are aimed at improving Nokia’s long-term financial performance. While the first half of 2012 was very challenging for Nokia, we are committed to conserving cash and lowering our operating expenditures. We are doing this while still investing in technologies to differentiate Nokia. The Nokia Group ended 2012 with gross cash of €9.9 billion and net cash of €4.4 billion. On a sequential basis, this represents a gross cash increase of €1.1 million and a net cash increase of €800 million. And while this represents a decline on a year-over-year basis, we achieved this result while also incurring restructuring related cash outflows of approximately €1.5 billion and paying a dividend of approximately €750 million in 2012. Thus from a liquidity perspective, we further strengthened our profile and ended the year with a solid cash position. We see this as a tremendous accomplishment in the context of Nokia Group’s overall challenges. At the same time, we are moving through the Devices & Services transition with agility and efficiency. This progress translated into improved Q4 results in which our Devices & Services Q4 non-IFRS operating margin returned to a positive level. During the fourth quarter of 2012, we shipped 6.6 million Smart Devices units of which 4.4 million were Lumia devices. We are pleased with the initial consumer response to our new Lumia devices during our early ramp-up period, which also experienced some supply and strengths. The innovation in the Lumia 920, 820 and 620 started to capture consumers’ attention. People are responding positively to our imaging capabilities, navigation features, and our distinct Nokia design. The feedback from operators continues to be very encouraging, as our confidence in Lumia increases. Now more than ever, operators are pushing for a third ecosystem to emerge, and they are committing to more marketing, more training, and more in-store displays to help Windows Phone and Lumia to grow. At the same time, we continue to improve our Nokia sells and markets our products. This is a key focus area for the team, as we expand Lumia to more price points in markets. Our Smart Devices team moved through a radical transition and they are focused on delivering more competitive devices to people around the globe. In our Mobile Phones business, we were able to close a competitive gap at the higher end of our portfolio. We saw this represented by a solid Q4 in which Mobile Phones volumes increased quarter-on-quarter to 80 million units, 9.3 million of these units were Asha full-touch smartphones, up from 6.5 million units in Q3. During the year, we launched more than a dozen Asha devices, including a range of dual SIM products and affordable full-touch products. The positive response from retailers, operators, and consumers has translated into improved sales. In key markets like India, Russia, and Saudi Arabia, Asha was the number one selling smartphone during certain months. At the same time the markets where we sell Asha products remain highly competitive, we expect a seasonally weak Q1 and we expect competitive pressures to remain intense. Our Location & Commerce business had a solid financial performance in Q4 with improved full year non-IFRS profitability. We were excited to introduce the HERE brand in Q4. HERE aims to take our recognized location innovation and make them available to the entire industry, while continuing to show some of the most advanced innovation on our Lumia product line. With this approach, we believe we can gain more scale and more competitiveness across our mapping and location experiences. And NSN had a tremendous and successful 2012. They delivered record underlying profits and cash. NSN had exceeded expectations and we are delighted with their commitments and focus. Third-party market share data indicates that NSN has captured a solid number two position in the overall wireless broadband and LTE areas; this validates NSN’s strong progress. Importantly, Q4 2012 marks NSN’s third quarter in a row of underlying profitability, and while we expect seasonality to impact the first quarter of 2013, we are pleased with NSN’s strong execution of its strategy, focused on mobile broadband and services. We are focused on making sure NSN remains a stable partner for its customers and continues to make progress towards becoming a more independent entity. 2012 has been a dynamic and challenging year for our employees. However, we are proud that our Nokia and NSN teams responded to the situation and are managing through the difficulties we’ve faced. Over the last several weeks, we have received feedback from Nokia employees through our internal surveys and employee health reports. Despite the challenging environment, our organizational health and the spirit of our people has improved quarter-over-quarter during our transition. We view this as an important accomplishment, because the overall success of the company depends on many things, but most importantly on the health of its organization. In addition to reaching underlying operating profitability for full year 2012, we have also improved our team’s ability to align, execute and renew. We believe the signals that we are making progress to create a stronger Nokia that can deliver improved results for our customers, our employees, and ultimately our shareholders. With that, I will pass it over to Timo.
Timo Ihamuotila: Thank you, Stephen. First, I would like to spend a bit of time taking you through the factors which impacted our cash in Q4, before providing more of an operational overview of quarter. I will then spend a bit of time commenting all location and commerce before discussing our Q1 outlook more broadly. So, let me start with cash. This remains an area of focus as we execute our strategy. On cash, I have been emphasizing that my key three areas of focus are; first, returning Devices & Services to positive operating cash flow as soon as possible; second, NSN continues to be self-funding in all aspects of its operations; and third, continuing to pragmatically monetize non-core assets. We made good progress on all of these three areas during Q4, and as we enter 2013, we remain especially focused on returning Devices & Services to sustainable positive operating cash flow as soon as possible. On sequential basis, Nokia Group gross cash increased by approximately €1.1 billion in Q4. Nokia Group net cash and other liquid assets increased by approximately €800 million sequentially. The major items impacting our net cash balance during the quarter were Nokia Group level net profit adjusted for non-cash items of positive €784 million, a negative impact from the Nokia Group level working capital related outflows of approximately €50 million, which included approximately €480 million of restructuring related cash outflows. A negative impact from Nokia Group level net financial expense of approximately €80 million, Nokia Group level cash tax expense of approximately €90 million, Nokia Group level CapEx and business acquisitions of approximately €160 million, sales of fixed assets of approximately €180 million, proceeds from business divestments of approximately €110 million, and approximately €85 million increase related to the equity components of the convertible bond. Excluding the restructuring related cash outflows, we generated a total of approximately €430 million of cash from working capital in Q4; this was almost entirely due to NSN, driven by a reduction in inventories and a decrease in receivables. Excluding restructuring, Devices & Services had a small cash outflow from working capital as an increase in receivables was largely offset by an increase in payables. NSN generated cash for the fifth quarter in a row in Q4, contributing approximately €740 million to net cash from operating activities and generated cash from working capital even after restructuring cash outflows of approximately €180 million. At the end of Q4, NSN’s contribution to the Nokia Group gross cash was approximately €2.4 billion and NSN’s contribution to the Nokia Group net cash was approximately €1.3 billion. Over the course of the full year 2012, NSN’s contribution to Nokia Group net cash increased by €1.3 billion even after restructuring cash outflows of approximately €650 million reflecting strong execution of its strategy and focus on cash performance. NSN has further strengthened its foundation in terms of its ability to be self funding in all aspects of its operations. Moreover, a healthy balance sheet position is an important part of NSN’s progress towards becoming a more independent entity. Looking at non-core assets for Nokia overall, during the quarter, we announced the sale and leaseback of our head office building here in Espoo with the selling price of €170 million. This follows the completion of the Vertu divestment for approximately €100 million. NSN announced the planned sale of its Business Support System and Optical Networks businesses in early December as a further step in its transformation following the completion of the sale of five non-core businesses during the course of 2012. We continue to have a clean balance sheet with a strong liquidity profile which was enhanced by the successful convertible bond issuance in the early part of the quarter. In addition, our gross cash is conservatively invested and is broadly readily accessible. Now, on to a review of our operational performance in Q4, in Q4, Devices & Services net sales of €3.9 billion were up 8% sequentially and down 36% year-over-year. Our Smart Devices net sales increased 26% sequentially due to higher Lumia net sales which more than offset a decline in Symbian volumes. Looking at our Lumia volumes, we saw a sequential increase in shipments to 4.4 million units with the growth in all regions, particularly in Europe and North America. During the fourth quarter, we shipped approximately 2.2 million Symbian devices. As I commented on the call two weeks ago, we currently expect Symbian to account for a significantly smaller portion of our overall Smart Devices volumes in Q1 as we continue to manage down our shipments. In Mobile Phones, net sales increased 4% sequentially, primarily due to higher volumes. The higher volume was largely driven by higher sales of our Asha full-touch smartphones during the quarter as Stephen mentioned. Then turning back to Devices & Services overall, Devices & Services non-IFRS gross margin in Q4 was 23.9%, up 540 basis points sequentially. The increase was primarily due to Smart Devices, the positive impact from non-recurring IPR income of approximately 50 million and to lesser extent Mobile Phones. In Q4 Devices & Services overall non-IFRS gross margin was positively impacted by approximately 65 basis points related to foreign currency hedging compared to the guidance I provided last quarter of approximately 40 basis points positive impact. At the present time, we expect a 30 basis point negative impact to Q1 gross margin related to hedging activities, assuming static foreign currency rates at the end of Q4 levels. So there is approximately a 100 basis point sequential gross margin headwind going into the first quarter from foreign exchange. In Q4 on a sequential basis, Smart Devices gross margin increased from negative 3.5% to 18%. This was primarily due to the absence of approximately €120 million of inventory related allowances, which were taken in Q3, as well as a positive mix shift towards higher gross margin Lumia devices. Mobile Phones gross margin increased 50 basis points to 22.2% primarily due to greater cost erosion than price erosion. Then moving on to OpEx, in Q4 Devices & Services non-IFRS OpEx was €869 million, down 5% on a sequential basis and 31% year-over-year. As we mentioned couple of weeks ago, Devices & Services OpEx was lower than we planned at the start of the quarter primarily due to a greater focus on our marketing spend as well as the restructuring actions we have been taken to improve the efficiency of the organization. Q4 Devices & Services OpEx also benefited from the divestment of Vertu. We are continuing to make very good progress on our cost reduction program and we expect this momentum to continue into Q1. In page eight on the press release, we have again provided a table outlining the total restructuring charges and related cash outflows already taken, as well as our forward-looking expectations. In total, we now expect cumulative Devices & Services restructuring charges of approximately €1.6 billion before the end of 2013. This approximately €200 million less than we estimated earlier. By the end of 2012, we had already recognized a vast majority of the restructuring charges related to this program, approximately $1.4 billion out of the estimated €1.6 billion. At the end of Q4, Devices & Services and Corporate Common had approximately 33,000 employees, a reduction of approximately 16,500 compared to the year ago quarter and approximately 5,000 compared to Q3. Devices & Services non-IFRS operating margin was 1.3% in Q4, up sequentially from a negative 7.4% in Q3. The improvement was primarily due to higher gross margin and to a lesser extent lower OpEx. And now on to Location & Commerce, reported net sales of Location & Commerce were €278 million, up 5% sequentially. This was primarily due to higher external net sales, driven by a higher consumer uptick of vehicle navigation systems as well as seasonally higher sales of personal navigation devices to customers. These more than offset lower internal sales to our Smart Devices unit. In Q4, Location & Commerce non-IFRS gross margin was 82%, up 160 basis points sequentially. This was primarily due to a higher gross margin within the vehicle segment as well as seasonally higher sales to personal navigation device customers, which carry a higher gross margin. Location & Commerce non-IFRS operating margin was 14.4% in Q4, up 40 basis points sequentially. One important point to note going forward; following the launch of the HERE brand in November last year, we are renaming the Location & Commerce business to HERE business for reporting purposes. From Q1 onwards, you will see this in our disclosures. Finally on Location & Commerce, I wanted to provide some color on our Q1 guidance and the drivers. There are a couple of important dynamics to note as it relates to Q1. First, we expect lower recognized revenue from internal sales, which carry higher gross margin. As a reminder, we have been deferring part of the revenues attributable to Location & Commerce associated with our navigation service since the start of 2010 when we launched our navigation service bundled with our Symbian devices. We have then been recognizing those deferred revenues in Location & Commerce over eight quarters. Note that our Symbian shipments peaked in Q4 2010. As our Symbian volumes have declined sharply since then, we have been deferring less navigation related revenue. Consequently, the quarterly amounts we recognize from the pool of deferred revenue is expected to decline significantly in Q1 2013 compared to Q4 2012. Also, as we evolve the pricing structures of map licenses to reflect changing industry dynamics, the increase in Lumia volumes is not yet compensating for the decline in Symbian volumes and this is expected to have a negative impact in Q1. Second, with an external sales, we expect a higher portion of lower gross margin sales in Q1 2013 compared to Q4 2012. Then on to Nokia Siemens Networks, NSN had another record quarter executing well against its focused strategy and restructuring program. Continuing from the strong performance last year, NSN achieved an all-time high non-IFRS operating margin in the fourth quarter of 14.4%, as well as a strong cash flow generation for the fifth consecutive quarter. In Q4, NSN reported net sales were €4 billion, 14% sequential increase. Services represented approximately 50% of NSN’s Q4 net sales, the same level as in Q3. On a year-on-year basis, sales increased 5% in Q4, despite the exit of certain non-core businesses. NSN’s non-IFRS gross margin in Q4 was 36%, up 380 basis points sequentially, reflecting a strong performance in higher margin product categories, including software sales, strong execution in NSN priority markets, higher overall net sales, as well as the positive impact from non-recurring IPR income of approximately €30 million. NSN demonstrated a continuation of its progress relative to their restructuring program resulting in significant structural savings both in cost of sales and OpEx during the quarter. In the press release today, we announced that NSN is increasing its cost saving targets and is now targeting more than €1 billion reduction in its non-IFRS annualized operating expenses and production overheads by the end of 2013 compared to the end of 2011. This compares to its previous target of €1 billion. In total, we now expect NSN cumulative restructuring charges of approximately €1.3 billion before the end of 2013 and this is approximately €100 million higher than we estimated earlier. By the end of 2012, NSN had already recognized virtually all of the restructuring charges related to this program. At the end of Q4, NSN had approximately 58,400 employees, a reduction of approximately 15,300 compared to the year ago quarter and approximately 2,200 compared to Q3. NSN’s non-IFRS OpEx increased by 6% sequentially, but it was down 11% year-on-year despite top line growth, reflecting good cost control and focus consistent with its strategy. NSN’s Q4 non-IFRS operating margin was 14.4%, up 520 basis points sequentially primarily reflecting the stronger gross margin and to a lesser degree OpEx leverage. Then turning back to Nokia as a whole; in Q4, financial income and expenses net was negative €66 million. The lower expense on a sequential basis was primarily due to the recognition of income related to one of our investments. As a reminder, going forward on a non-IFRS basis, we expect to record quarterly tax expense of approximately €50 million related to our Devices & Services business and approximately €50 million related to our Nokia Siemens Networks business. We expect to continue to record taxes related to our Location & Commerce business at 26% rate. Now, turning on to our guidance; in the press release you will find the full details of our guidance, but I just wanted to spend a little bit of time discussing a couple of points and remind you that we are continuing to operate with limited near-term visibility in Devices & Services and Nokia Siemens Networks. For Devices & Services, we expect the Q1 of non-IFRS operating margin to be negative 2%, plus minus four percentage points. As we stated in our press release, this outlook is based on Nokia’s expectations regarding a number of factors, but I just wanted to note couple of reminders. As I commented earlier, we currently expect Symbian to account for a much less significant proportion of our overall Smart Devices volumes in Q1 as we continue to manage down our shipments, so please take this into account in your models. Also, as a reminder, following the divestment of Vertu, Devices & Services other revenue is almost entirely comprised of our IPR income, which we have said as an annual run rate of approximately €0.5 billion. During Q4, Devices & Services other revenue of €160 million benefited from non-recurring IPR income of approximately €50 million, which will be a significant margin and revenue headwind for Devices & Services other going into the first quarter. For NSN, we expect the Q1 non-IFRS operating margin to be positive 3% plus minus four percentage points, compared to the 14.4% in Q4. This outlook is based on expectations regarding a number of factors also listed in the press release. As a reminder, please note that the NSN’s Q4 results benefited from the impact of non-recurring IPR income of approximately €30 million, which will be a slight headwind for NSN going into the first quarter. In summary, while we can be pleased with the progress we have made particularly in the second half of the 2012, I’m very focused on maintaining our strong financial position and improving our cash flow generation particularly in Devices & Services, as well as continuing NSN’s strong execution. And with that, I’ll hand over to Matt for Q&A.
Matt Shimao: Thank you, Timo. For the Q&A session, please limit yourself to one question only. Operator, please go ahead.
Operator: Thank you. (Operator Instructions) Your first question comes from the line of Gareth Jenkins with UBS.
Gareth Jenkins – UBS Investment Bank, Research Division: Yeah, thanks for taking the question. I guess, I just wondered if I could ask a question around the Microsoft agreement. I think in the statement you say that, quite not sure from here you’ll have a negative payment over the life of the agreement. I just wondered if you could help us understand that, is it based on volumes, or is there a contingent liability you have to pay regardless of volumes going forward? And I have a follow-up. Thank you.
Timo Ihamuotila: Hey, thanks, Gareth, Timo here, so yeah, happy to clarify that. So first of all, we are talking about a multiyear agreement as we have said earlier. And I think it’s very important to note that when we look at 2013, even if we now are expecting that over the residual lifetime, we would be a net payer when we compare the minimum royalty to the platform payment for 2013. These net amounts are not in any base material for us.
Stephen A. Elop: Do you have a follow-up Gareth?
Gareth Jenkins – UBS Investment Bank, Research Division: Yeah, follow-ups some one like I guess, and just your employees in Devices & Services now 33,000 are just – I noticed that no additional cash restructuring up to 2014, I mean how should you feel that by the end of this year you will be at the right size for Nokia going forward sort of business in terms of innovation of [Cromans] and investment et cetera. Do you see further restructuring programs going forward? Thank you.
Stephen A. Elop: Yes, Gareth. So as I have said earlier so this really is a bit of a dynamic equation. At the moment, we see that this €3 billion target by the end of 2013 is the right target for the company. Of course if situation would significantly change either to positive or negative, we need to be able to react to that. But at the moment we think that’s the right target and in that sense, we are significantly down on the execution of the restructuring programs what we have announced so far.
Timo Ihamuotila: And just to add that Gareth, we did announce our last major restructuring in June of last year and various elements of that have been kicking in. Most recently there was an announcement related to the IT organization which was final components of the June restructuring. So there’s still some activity in work or in play, but in terms of the critical mass of resources that we require for research and development to drive innovation, of course that’s been a major focus of our is to properly protect and in some cases even to enhance. So we are very comfortable with where we stand from that perspective. And of course, you see it in the products, you see it in the Lumia 920, you see it in the Asha product line, you see it from Location & Commerce.
Matt Shimao: Thank you, Gareth. Operator, next question please.
Operator: Thank you. Your next question comes from the line of Stuart Jeffrey with Nomura.
Stuart Jeffrey – Nomura Securities International, Inc.:
 :
Stephen A. Elop: Great, thanks for the question. With respect to Asha, it’s important to look at what the key differentiators are for the Asha product line, particularly the full-touch product line. Our principal focus there is the provision of devices that have a lower overall total cost of ownership. So what is the case for the use of, for example, proxy browser technology through how we’ve implemented things like the Facebook client and so forth that the overall cost of ownership of one of those devices on a data network is substantially lower and the consumers are recognizing that, that’s a key part of how we sell. It is the case that there is a healthy ecosystem of applications around the Series 40 and Asha products. It’s a very, very major source of downloads of applications and content for us. So it’s something that very much we’re interested and continuing to drive. And we think that part of the attraction here is that, for someone contemplating developing, for example, for the Windows Phone ecosystem, part of our conversation with one of those developers is that, they also work against the Asha environment. We can offer them an opportunity to make their applications visible and marketed to a very much larger customer base than virtually any ecosystem, so there is some strength there. I’m switching to the second question, which was on the question of interaction with Gmail and so forth from Windows Phone. It is the case that Google has announced something. Couple of things to point out; first of all, it’s really just a function of how frequently and in what way e-mail transfers to a Windows Phone device, so it’s about a particular aspect of how that’s done. There are also other alternative technical means to achieve the same type of thing and while [we’ve paid no] announcements, clearly we are looking very closely how to make sure our consumer’s needs are quickly met.
Matt Shimao: Thanks, Stuart. Operator, next question please.
Operator: Thank you. Your next question comes from line of Andrew Gardiner with Barclays.
Andrew Gardiner – Barclays Capital: Thanks for taking my question. I was interested in understanding a bit more your volume trajectory we are seeing in China, now that’s one region where you’ve seen particularly noticeable declines on a year-on-year basis, as well as on a sequential basis, clearly a high profile market, one that’s growing on an underlying basis. So, I’m just wondering if you could give us bit more detail as to how the efforts are going in China to turn that around for Nokia. Thanks.
Stephen A. Elop: Great, thanks for the question. And indeed its the case that we’re shifting into a mode now, where we’re essentially starting with a fresh new portfolio of products, the Lumia 920 which is on China Unicom’s network and the Lumia 920T on the China Mobile network combined with other Lumia products that you are seeing or will soon see land in China really give us that fresh approach to the Chinese market with products that first of all are very competitive to capture a much larger share of value. So if you look at some of what’s happened is numbers have gone down and so forth. Nokia has been in the position where it’s been at lower and lower price points, lower value capture and so forth, obviously causing stress from a gross margin perspective and so forth. What we are proud of that we’re going back into that market with some very competitive high-value products, as well as a full ecosystem of products that we can begin to be more aggressive in lower price points as well. You’ve seen us do things like this already with the Lumia 620. You’ll see a number of other efforts in the months and years ahead that really go after that. So, we’re excited about how things are going in China. Just a comment on current activities, the consumer response from China is very positive, it is a market that has generally has been the case, it’s certainly the case in China as well that demand is outstripping supply at this point.
Matt Shimao: Thank you, Andrew. Operator, next question please.
Operator: Thank you. Your next question comes from the line of Tim Long with BMO Capital Markets.
Timothy Long – BMO Capital Markets U.S.: Thank you. I was wondering if I can get some clarity on the comments about the channel inventory being towards the upper end of the range, just curious where this is and which products, and does that mean, what does that mean into Q1 seasonality particularly as it relates to the Lumia products? Thank you.
Timo Ihamuotila: Tim, thanks for the question, Timo here. So yes, we said that we are at the upper end of our normal four to six-week range, so we are not seeing anything highly unusual here. And you asked how does this relate Lumia? So as we have said on the Lumia 920, in particular, we have been supply constraint, so clearly, we can say that the inventory has not been in that particular area. And as you look at our volume, so 6.6 million in Smart Devices versus 8ish million in Mobile Phone, so clearly we said that the inventory on volume with us is slightly higher. So cleared just by using the map here and it should be more on the MP side.
Timothy Long – BMO Capital Markets U.S.: Okay. Netting that out, does that mean that the supply constraints mean that, Lumia can buck normal seasonality into Q1 despite the inventory situation?
Timo Ihamuotila: If I take a shot of this one, so I would say that that clearly depends on the both demand trajectory and the supply trajectory at the moment. So we are now building more capacity as we speak to match the demand and we would expect that at some point in not too distant future we would be in a situation where we are, no longer constraints, but clearly it’s both two drivers which impacted. And we are still clearly on the ramp-up on the new product and Lumia products.
Timothy Long – BMO Capital Markets U.S.: Okay. Thank you.
Matt Shimao: Thanks, Tim. Operator, next question please.
Operator: Your next question comes from the line of Simon Schafer with Goldman Sachs.
Simon Schafer – Goldman Sachs Group, Inc.: Yes, thanks so much. I want to follow on just on gross margins and Smart Devices, a good uptick that sequentially. But just with the Symbian phase out in the beginning of the year, I was just wondering how sustainable than improvement might be in this segment and any sort of color as to what the mixed composition is now in your Lumia portfolio that would be very helpful. Just trying to understand as to whether you think this is a sustainable up drift now from both pricing and a gross margin perspective in that portfolio although we should expect less than improvement going forward? Thanks.
Timo Ihamuotila: Yes. As you know Simon, we are not giving gross margin guidance going forward. We had 18% gross margin now in Q4 and clearly a big impact for sequential improvement, what was also that we did not have the allowances when you compare to Q3. But we also have said that the Lumia range have carried a higher gross margin than Symbian now. And in that sense, Symbian going down should have a slight positive impact, but then again we have to observe that overall we are going to a seasonally lower quarter which then – will from just capital utilization efficiency perspective and those situations the slight headwind to gross margin as well. So we need to take those factors into account.
Stephen A. Elop: And just to take a sort of up one level to sort of perspective over longer period of time, clearly our principal investments from an R&D perspective as we have transitioned into someone who uses the Windows Phone platform is focused on differentiation, focused on capabilities that are new or unique on the Windows Phone platform and the Asha platform as well. And it’s clearly our intend to really focus on and do the very best we can as it relates gross margin, because it’s in one way a measure of that, so if you look very closely, that is the measure of our R&D productivity, which is now far more focused on differentiation than historically it was whether it’s a large component of it focused on just the underlying plumbing of operating systems.
Matt Shimao: Thank you. Operator, next question please.
Operator: Your next question comes from the line of Francois Meunier with Morgan Stanley.
Francois Meunier – Morgan Stanley: Hey, thanks for taking my question. First question is on inventories, actually they look really low, so the good was in cash flow you see in Q4? But is it something, which would remain at that such a low lever in Q1 and Q4, so that’s the first question? The second question is really regarding your strategy again in, it’s very low in smartphone market and how if you could – would it be for you to move to Android, or is that something that clearly you are rolling out at the moment?
Stephen A. Elop: Okay, thanks Francois, so I’ll start with the inventory question. So you are, I’m sure referring to the inventory line in balance sheet. And in that sense I’m not sure if we are now talking about full Group or NSN, but clearly on Group level and NSN went down, I think if Devices & Services were also be an efficient in managing its inventory in the balance sheet, and we of course do our utmost best to continue to manage our inventory, as well as possible. And…
Francois Meunier – Morgan Stanley: So, it’s an end of the (inaudible) basically?
Stephen A. Elop: I would say it’s more a focus of our concentration on operations in driving networking capital and everything else is tightly as we can. And that will be an ongoing focus for sure.
Francois Meunier – Morgan Stanley: Okay.
Stephen A. Elop: And then with respect to your second question on the low-end smartphone market, we are clearly innovating with Microsoft around Windows Phone and our focus on taking that to lower and lower price points, you will see that over time to compete with Android. But at the same time we’ve said consistently and you’re just being to see it in the Asha full touch products that we will continue to innovate around our Asha smartphone line in order to compete with the very lowest levels of Android with assets that we have and that are very competitive in operating at good scale for us today in the organization. So we are not in a situation where we are considering something to different than Windows Phone combined with what we are doing Asha.
Matt Shimao: Thank you, Francois. Operator, next question please.
Operator: Our next question comes from the line of Alexander Peterc with BNP Paribas.
Alexander Peterc – Exane BNP Paribas: Thanks for taking my question. I would just like to come back on the Asha situation. Can you reassure us on the fact that you can evolve the Series 40 software quickly enough to keep pace with the innovation of Android and/or alternatively you will able to bring down to Windows Phone device price point to level where we will be competitive with the competitor price of $100 Android? Thanks.
Stephen A. Elop: So it is the combination of those two things on which we’re focused and that is our strategy going forward.
Timo Ihamuotila: Yeah, and maybe if I can add, so clearly on Asha, price also needs to be a competitive element.
Stephen A. Elop: Yes.
Timo Ihamuotila: So we are bringing the Internet access to the lowest price points with Asha with other attributes than Android like the best battery performance and things like that which are very important in that low end of the market. But we need to be able to continue to manufacture, make price innovate on the Asha low end so that we are riding on that very, very low end of that Android competition if we say so.
Alexander Peterc – Exane BNP Paribas: Thank you.
Stephen A. Elop: Go ahead.
Alexander Peterc – Exane BNP Paribas: Yeah, just a quick follow-up, just have a housekeeping question on CapEx which is particularly low for this year, what’s the new run rate for CapEx for you guys? Thanks.
Timo Ihamuotila: We are not planning any significant change going into 2013 on CapEx at the moment.
Alexander Peterc – Exane BNP Paribas: Thank you.
Timo Ihamuotila: Yes.
Matt Shimao: Operator, next question please.
Operator: Our next question comes from the line of Didier Scemama with Merrill Lynch.
Didier Scemama – Bank of America/Merrill Lynch: Yeah, good afternoon, guys, thanks for taking my question. It’s a bit of a follow-up of previous question. I’m just thinking, if I do the math right on your underlying cash burn, excluding NSN, excluding Microsoft payments, and the number of lineup, I think Nokia basically burn about €643 million in a quarter. If I look at your guidance on Q1, seasonality Asha, perhaps a bit of uninvited inventories, would it be fair to say that your cash burn excluding NSN and Microsoft payments would increase in fact, in Q1? And I’ve got a very quick follow-up. Thank you.
Stephen A. Elop: Okay. So if we talk about the cash situation overall going into Q1, so I think if you first of all look at the Microsoft payment, so I think we need to look at, that’s part of the ongoing business. So clearly, we are having a long-term contract where we have a structure, where we pay royalties and receive the platform payments. So that’s how we look at that part of the equation regarding the platform payments. Then if you look at the overall cash situation, so we are not giving any cash guidance as such going into Q1. But I think we are saying that we are expecting restructuring related cash outflows in Devices & Services about €200 million, in NSN about €150 million, and then in addition to that, we will clearly have some finance tax expense and so forth. And when you look at our guidance on operating margin, so here, yes, it is fair to assume from those numbers that the net cash position would go down somewhat.
Didier Scemama – Bank of America/Merrill Lynch: And then just a quick one, yeah, thanks so much. It’s just also a follow-up from Alexander question. I mean can you basically tell us whether you can make a Series 40 full-touch Asha device with a dual core processor and is there an 4-inch that you can compete with, the media takes based devices even now coming with quad-core maybe not at $100, but its already in the dual core devices coming at $100 and especially because you’ve seen what happened in China in the last 18 months and just concerned that the Asha success in countries like India, Pakistan, Russia, which have been traditional very strong markets for Nokia are now going to see an invasion of notebook devices? Thanks.
Stephen A. Elop: Yeah, thanks for your question. I can’t provide specific product details or announcements and so forth. But clearly it’s our intent to be very competitive in the right countries at the right price points. And so we definitely continue to invest and innovate around what we’re doing with the Asha product lines. There’s a lot of excitement with that product line – with that product line ahead this year, there is no question. We are also – if you watch some of the things that we’re doing in terms of ensuring that we continue to be competitive, we’re moving forward, for example with our Vietnam factory. Part of competing in this space is to make sure that on all fronts we are also commanding the lowest possible prices and taking advantage of the scale opportunity that exists around the world. So we are taking every step necessary to continue to focus on competitiveness with that product line.
Matt Shimao: Okay. Thanks, Didier. Yeah, operator, next question please.
Operator: Our next question comes from the line of Sandeep Deshpande with JPMorgan.
Sandeep S Deshpande – JPMorgan Cazenove: Thanks. Can I ask a question on your Windows platform itself, I mean historically Nokia had the lowest cost platforms at all your own design et cetera, and you took a standardized platform when you initially started off on Windows? Have you now customized it for your cost structure and that you are getting the best possible gross margin on the Windows platform? And secondly, would you make a comment on what kind of volume you need to do in Windows to be able to break-even in that line.
Stephen A. Elop: So, let me comment on the competitiveness and what we do with the Windows Phone platform. The underlying platform itself, we are not wanting to do great deals of customization to the heart of the platform, because of course that could lead us into the situation that Android is facing, where the amount of fragmentation that you’re seeing is increasing as people take it in different directions, of course offset by Google’s efforts to turn the open economic system into something that’s quite a bit more close as you’ve seen quite recently. But, what we are doing, is taking advantage of our experience at scale by doing things like in the manufacturing facilities making sure we understand how to most efficiently create the devices, flash the devices, moving through the production facilities the most effectively. We’re also making sure that we’re adding to the Windows Phone platform with unique capabilities and unique differentiators, for example elements of our HERE platform, things like City Lens for augmented reality that you see only on the Lumia devices or Nokia Music and a variety of other things. So, we’re taking advantage of our experience there. It’s also important to note that in terms of being efficient in getting these products done at the best possible gross margins, we’re working as a first-party partner with Microsoft such that at every step of the development cycle it is on Nokia hardware, Nokia platform, and so forth, Nokia manufacturing cycles and everything, that we’re building the new products with, so that as we come to market we can move most efficiently through everything from operator testing to ramping up production and things like that. So, there is a lot of things there that fundamentally we’re doing. Now, in addition to all of that, I have to emphasize again, differentiation, of course you see us adding things alongside or as in the context of the platform for imaging as you see with PureView, for Location & Commerce, for wireless charging and so forth where we gained some initial advantage that can be quite competitive over time.
Timo Ihamuotila: Yes, and then on the Smart Devices break-even point, so clearly we can’t give any direct guidance on that. As the OpEx if I remember correctly, Q4 was about €480 million, I think the ASP at the moment on the Lumia devices was about €190 million and of course, with as much innovation as possible, we are trying to drive higher gross margin and higher ASP, which would then take that volume number lower, but I can’t give you any exact number in that regard.
Matt Shimao: Thank you, Sandeep. Operator, next question please.
Operator: Our next question comes from Pierre Ferragu with Bernstein.
Pierre Ferragu – Bernstein Research: Hey, thank you for taking my question. On Lumia, I think, if you compare Lumia to-date to Lumia where it’s (inaudible) that you are far more satisfied with how the product has been received in the channels. Could you give us some more color on what is working better this time? Where do you get more consumer attraction? What are the features that seems to be generating this better attraction and also it would be useful to have like geographic basically if we compare this quarter to all, let’s say, this time of the year now to as the same time of the year last year, is Lumia today in more channels, more countries, the similar geographic footprint, do you see strengths today that you, in some regions that you didn’t have last year? Anything on that would be helpful.
Stephen A. Elop: Great, thanks Pierre for some very good questions. First of all, in terms of comparing what we are doing today with what we are doing with the Windows Phone 7 products, I want to point out a couple of things. First of all, generically on the Windows Phone 8 platform versus Windows Phone 7, the complementary nature of that platform with big Windows offers a larger opportunity for developers as one example to build applications that will be seen by many more people on many more types of devices. And so that’s more attractive and that helps us to build out the whole experience in a positive way. Also, there is quite a variety of capabilities in Windows Phone 8 that we’re not yet in Windows Phone 7 that we’re very pleased that are there. Not just the things that the consumer initially sees like the better start screen experience and things like that. But for example, the degree of encryption capabilities and business oriented features at this particular moment in the mobile timeframe, presents a very interesting opportunity to pursue the B2B opportunity, which is I think something you’re going to hear us talk quite a bit more about in the months and years ahead because of the opportunity that’s they’re given Microsoft’s strength in the enterprise. So you will see, capabilities in Windows Phone 8 really starting to light up from that perspective. But it’s also the case that when we introduced our first Windows Phone 7 devices, we were relatively late to the Windows Phone 7 party. The software was largely already done. The opportunity for us to add capabilities that gave us unique points of differentiation, not in the context necessarily the Windows Phone ecosystem, but even relative to Android or relative to Apple. We did not have that much of that opportunity. And so you saw us do some really beautiful work with design in a touch environment and everything. But it’s with Windows Phone 8 that you see the very beginning of what we can do with photography. The very beginning of what we can do with location-based services and a whole variety of other capabilities that are just beginning to appear in a product like the Lumia 920. So we clearly have had the time to really begin to show, how we focus R&D effort on differentiation can land in the products, and that’s a huge focus for us. And you are really going to see that drumbeat during the course of 2013 as we go further and further. Now, it is the case as well, but something else is shifting, and that is in the context of the operator perspective and how they view the potential success and the impact on them strategically of a third ecosystem. And so what is the case that operators today are more engaged, more invested and more participating in the conversations about how do we take the Windows Phone ecosystem to create more balance for them from an overall strategic perspective, and of course always for the consumer who makes the ultimate decision about these things. And then if I remember correctly, the third aspect of your question was both geographic distribution, number of channels and so forth. I don’t have the exact numbers in my mind, but it was a very deliberate strategy of ours to begin this process with Windows Phone 8 on a far more concentrated basis than was the case before. So in most countries, Asha set at the highest level, we are in fewer countries today than we where I believe at this point roughly in the Windows Phone 7 roll out. If you remember, Windows Phone 7, we went to a lot of European countries right out of the gate, and we are still in the process of rolling out to various European countries. And then within most countries, the United States is an exception here, and China is an exception here, but in most other countries we were pretty broad with the range of operators and retailers with whom we’re working. So if you take the United Kingdom as an example, the early launch of the Lumia 920 in the United Kingdom was limited to everything, everywhere as a sole operator partner and it was in just a couple of the largest retailers. And it’s only in the last week or two I believe that began to broaden to additional operators in the UK and you will see that pattern form elsewhere. Geographically, it is the case that we’re very excited to have added an operator in the United States so there is broader distribution ramping up with the inclusion of Verizon in the United States. And of course, we are very interested to see how we can work effectively with China Mobile as a second operator partner in China, where today we are working with China Unicom on the WCDMA network and now with China Mobile on TD-SCDMA. So those of the two – there maybe some other countries that are exceptions to the rule, but those are the two most obvious exceptions and then in the rest of countries, it’s clearly a narrow, a distribution strategy to start out. And of course, we are having to meter that and make decisions as we go as the function of the supply constraint. And so we are having to do adjustments and you see some timing adjustments and so forth as a function of supply.
Matt Shimao: Thank you, Pierre. Operator, next question please.
Pierre Ferragu – Bernstein Research: Maybe if I can just one quick follow-up on your Asha what I would tell you at the moment, from your members, it doesn’t seem like these phones are selling much in China, because you are still facing quite a significant decline in sales there. So I assume it’s in other or mostly in other emerging markets, could you explain why and what’s happening in China and how confident you are than what’s happening today in China could not positively expand and enrich other big markets for you like India?
Stephen A. Elop: Yeah, so there is one fundamental difference in China. And that is that the current targets that are set for the three operators are principally set around driving 3G data subscriptions and people signing up for 3G for the first time. The majority of the current products from mobile phones are 2G products, and so that’s something clearly that we look at and consider in terms of consumer requirement and country requirements in the quarters ahead.
Matt Shimao: Thanks, Pierre.
Pierre Ferragu – Bernstein Research: Thank you.
Matt Shimao: Operator, next question please.
Operator: Our next question comes from Mike Walkley with Canaccord Genuity.
Michael Walkley – Canaccord Genuity: Just doing on your last answer, just – how do you view 2013 just for the overall Windows ecosystem given your conversations about some better operators and so forth. For Nokia to return to a sustained profitability, is there any milestones that you are tracking for Windows in terms of maybe smartphone market share or other areas just they can track the progress of Windows and how that might flow through to units, you need your head to get back to profitability? Thank you.
Stephen A. Elop: Yeah, thanks for the question. I mean, when we have a conversation with an operator and talk about what do we need to accomplish together strategically, the general nature of those conversations tends to be a two step conversation. The first is with a particular operator, in a particular country or more broadly across the countries in which they operate. Step one, how do we get this solidly into double-digit market share for their range of operating companies. And then the next step is how do we get that up to a nice balance in terms of value in particular relative to two other big players. So that tends to be the nature of the conversation. So yes, we obviously look very carefully on a country and operator specific basis on both volume and value share, and we look very much at double-digit share numbers and things that that are important milestones for us.
Timo Ihamuotila: And maybe just Mike you asked what are the KPIs we track here, so I can’t give you any milestones as such, but clearly we track the Lumia volumes of course that is something that we need to see increase and we track in particular the high end volumes, because we think that is continues to be the case in this business and this market that the high end halo impact is very important.
Matt Shimao: Thank you, Mike. Operator, next question please.
Operator: Our next question comes from Kulbinder Garcha with Credit Suisse.
Kulbinder Garcha – Credit Suisse: First of all for you on cash flow, very simply I’m just looking at Q4, you guys generate €800 million, €740 million from NSN which Nokia don’t have access to I don’t think, I’m not calling off you do have access to ex-NSN. You have €290 million of disposals seasonically impacts your underlying cash burn was roughly €230 million, not to mention going forward, there is going to be a swing because Microsoft, your net pay to Microsoft as oppose to be a net recipient. I’m just thinking with that level of cash burn given liquidity of risk, given you only got €3 billion of cash ex-NSN in Nokia today, why isn’t that risk open? Maybe I’m doing the math wrong, but if you could just go through that? And then, the other question I have is just on Symbian gross margins. In Q2, you guys said that gross margins were roughly the same ex any charges of 16%. Symbian ASPs have gone up during the back half, so I would have felt that gross margins would have probably tracked and gone up as well. But, today you’re saying just to be clear that gross margins are lower than the smart price’s average. Is that correct? And why wouldn’t have tracked ASP increases. So, just if you could clarify them that would be helpful.
Timo Ihamuotila: Yeah, maybe take the first, the Symbian answer first. So, as we are working on the tail end of the product and clearly sort of lower volumes and all that, and really working on the tail end, so yes you are right, that has changed. And when we look at the overall margin, the Symbian margin was somewhat lower than the Lumia margin on running basis, so that is correct. Then, when we look at the cash flow, of course, we also have €300 million of restructuring charges in the cash flow estimate for Q4 and in that sense we are not as we say going forward in Devices & Services, we are not expecting very significant restructuring charges going forward, so that is one element that needs to be taken into account. And second, as I said, regarding the (inaudible), so again we are not expecting that these net amounts are material for 2013 on cash basis. So I think those are the dynamics impacting the cash situation.
Matt Shimao: Great. Thank you, Kulbinder. Operator, next question please.
Operator: Our next question comes from Mark Sue from RBC Capital Markets.
Mark Sue – RBC Capital Markets: Let me just spend into ensure the success of a third operating system. There are indications that the commitments from the operators and the service providers may increase year-on-year, but there is a feel as if Microsoft and Nokia have to increase and recently commit to a bigger part of that spending. Since the carriers do wanted third OS mostly to reduce subsidies, I’m just wondering if the balance has to be made up by Nokia?
Stephen A. Elop: So, it is the case that the pattern we are seeing from some of the leading operators is to make more of a commitment, more of an investment in order to break through with the third ecosystem to a greater extent. In doing that the conversations that take place tend to be tripartite conversations where it’s the operator, it’s Microsoft, its Nokia sitting around the table and saying, okay, this is how we’re going to do it. And of course, that requires investment from us in various forms, it could be investments in marketing, it could be investments in unique products, it could be a variety of things we do, Microsoft has their ways of investing, which could also include things like marketing and so forth. And of course, the operator has things to offer ranging from marketing dollars subsidy HERE promotion, special biz for sales force and so forth were tends to be a basket of things that we all bring to the table to create a combined effort with those operators.
Matt Shimao: Thank you, Mark. So we’ve reached the end of the Q&A session. So I’ll turn the call back over to Stephen for closing statements.
Stephen A. Elop: Great, thanks, Matt. So in conclusion, we are very encouraged that our teams’ execution against the business strategy has started to translate into some better financial results. That said, we remain focused on moving through our transition by continuing to improve our product competitiveness, accelerate the way we operate and manage our costs effectively. All of these efforts were ended in improving our financial performance and delivering more value to you, our shareholders. So thank you very much for your support, and we look forward to sharing more news in the future.
Matt Shimao: Ladies and gentlemen, this concludes our conference call. I would like to remind you that during the conference call today, we have made a number of forward-looking statements that involved risks and uncertainties. Actual results may therefore differ materially from the results currently expected. Factors that could cause such differences can be both external, such as general, economic and industry conditions, as well as internal operating factors. We have identified these in more detail on pages 13 through 47 of our 2011 20-F and in our financial results press release issued today. Thank you.
Operator: Ladies and gentlemen, you may now disconnect your lines.